Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2018 First Quarter Results Conference Call. During the presentation, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and a replay will be available on Barrick's website tonight April 24, 2018. I'll now like to turn the conference over to Kelvin Dushnisky, President. Please go ahead, sir.
Kelvin Dushnisky: Good morning and thank you for joining us. Before we begin, I'd like to highlight that during this presentation, we'll be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. A review of our most recent AIF will provide you with a more complete discussion. I'm here today with our Chief Financial Officer, Catherine Raw; our Senior Vice President, Operational and Technical Excellence, Greg Walker; our CEO of Barrick Nevada, Bill McBain; and our Executive Vice President of Exploration and Growth, Rob Krcmarov; our other general managers and members of the Barrick team will also be available for questions following the formal portion of the call. During the first quarter, we made good headway on the priorities we set for 2018. Keeping in mind that it’s still early in the year, I would like to update you on the progress we have made so far. Our operations generated $507 million in operating cash flow and $181 million in free cash flow, both in improvements over the prior year quarter. Catherine will speak to you in more detail about this as well as our other financial results. Operationally, gold production and cost for the quarter were inline with expectation and consistent with what we have previously guided. Our Nevada organic growth projects are progressing well and remain on schedule and within budget. Greg will provide you with an update on the Turquoise Ridge third shaft and Bill will speak to you on the recent progress made at Cortez Deep South and at Goldrush. Nevada remains the key area of focus for our exploration program and Rob will provide you with an update on our recent and encouraging drilling results in Fourmile. With respect to the balance sheet, during the quarter we are pleased to report that Moody’s and Standard and Poor’s upgraded our credit ratings, reflecting our progress on debt reduction and improved liquidity. Finally, before I hand the call over to Catherine, I want to provide a brief update on the status of the discussions with the Tanzania concerning the proposed framework agreement Acacia. The discussions have been constructive and the parities are progressing with the detailed legal agreements concerning the implementation of the conceptual framework. And while there were a number of issues still to be resolved, Barrick continues to target the first half of 2018 for the completion of a detailed proposal for review by Acacia. With that I will hand the call over to Catherine to take you through our Q1 financial results.
Catherine Raw: Thanks, Kevin. Our net earnings for the quarter were $158 million or $0.14 per share and adjusted net earnings were $170 million or $0.58 per share up 5% relative to the same period last year, mainly due to the higher gold price and lower depreciation. Operating cash flow increased year-over-year to $507 million due to higher gold prices, lower cash taxes paid and positive movement in working capital. Free cash flow for the quarter was $181 million, up 12% compared to last year due to the higher operating cash flow and slightly lower cash CapEx, even though on this slide, you can see that are our accrued CapEx, which is what we currently use for our all-in sustaining calculation did in fact increase by 4%. This was due to an increase in project capital of Barrick Nevada, Crossroads pre-stripping at Cortez range from declines the Goldrush exploration declines and the Deep South extension as well as the start of construction at the third shaft at Turquoise Ridge, Greg and Bill will talk about these in more detail later. Our full-year guidance for 2018 remains unchanged at 4.5 million to 5 million ounces, at a cost of sales of $810 million to $850 million per ounce. And all in sustaining cost of $765 million to $815 million per ounce. With respect to timing, our production still expected to be second half waited at lower cost in the first half as we see high grades and throughput from Barrick Nevada and Pueblo Viejo. Second quarter production is to be roughly in line with the first and it's expected to be slightly higher than the first quarter and Greg will provide you a bit more color on this. For copper, we continue to expect production to be in the range of 385 million to 450 million pounds at a cost of sales of $1.80 to $2.10 per pound and all-in sustaining costs of $2.30 to $2.60 per pound. Our guidance for total CapEx remains unchanged with $950 million to $1.1 billion at sustaining 450 to 550 at growth and our total CapEx of $1.4 million to $1.6 million. And now onto the balance sheet. In the first quarter of 2018, S&P and Moody's, both recognized a huge progress we've made and upgraded Barrick's credit ratings citing significant increase in free cash flow and liquidity. At the end of Q1, we had a consolidated cash balance of $2.4 billion, we had less than $100 million of debt due before 2020, and more than three quarters of the outstanding $6.4 billion is due after 2032. Despite this recognition from the credit agencies, our goal remains to reduce debt – our total debt to around $5 billion by the end of the year. Given how materially we have strengthened our balance sheet, we now do not intend to sell further assets for the purposes of debt repayment. And we will use free cash flow and cash on hand to try and achieve this $5 billion goal. Proceeds from any additional portfolio optimization will be reinvested back into the business to enhance our project pipeline all return back to shareholders. As we stated before, our objective is to create a sustainable long-term business for the robust balance sheet, a strong – with strong cash flow generation and with the aim of rewarding our shareholders through a combination of share price appreciation, dividends and potential share buybacks. This is a long journey but one we are committed to. I'd now like to hand it over to Greg, who'll take you through the operation results for the first quarter.
Greg Walker: Thank you, Catherine. Quarter one 2019 we produced 1.05 million ounces of gold, which is in line with our previous announce guidance. First quarter production was also impacted by an earthquake that struck Papua New Guinea on February 26. This earthquake damaged infrastructure of the forward joined venture Porgera joint venture power station. The Porgera processing plant is currently operating at 25%, we're currently expecting this to improve in stages and be back in full capacity in Q4 in 2019. As Catherine mentioned, we expected gold production in the second quarter to be roughly in line with the first quarter at about one million ounces. This is mainly due to maintenance at Barrick Nevada roaster, and PV autoclave circuits. Gold all-in sustaining costs for Q1 was $804 an ounce, cash costs was $573 per ounce. This year-on-year increase of 4% and 5%, respectively, is in line with our guidance for first quarter costs, which is proportionally higher compared to the balance of 2019. Higher costs also partially reflect the higher royalty expenses that – as a result of the increased realized gold price in Q1. Looking forward, we expect sustaining capital to be higher in Q2 versus Q1 given underground development, stripping and other planned projects such as tailings dam raises. We expect the completion of this sustaining capital program to lay the foundations for stronger production of lower cost in the second half of 2018, given access to higher grades and increased throughputs. On the copper side, production in Q1 was 85 million pounds or 11% lower compared to prior year. This is mainly due to mill and crusher shutdowns at Lumwana along with lower grades in the first quarter. Accordingly, copper all-in sustaining costs increased to $2.61 per pound in Q1, a 90% increase over the prior year. Looking forward, we expect this performance to improve, as lower realize grades in the first quarter at Lumwana are expected increase over the course of 2018. Moving on to Turquoise Ridge, as highlighted now in recent Investor Day, Turquoise Ridge is now core mine in recognition for its growth potential, facilitated by the construction of the third shaft. On upfront, we are pleased to announce that we appointed decent mining and the shaft sinking contract for this project. As you can see in these photographs, the dewatering drilling is in progress, electrical distribution infrastructure is being constructed and the site utility construction is underway. The balance of 2018 will focus on long lead items – purchase of long-lead items, the collar excavation, and the headframe and hoist installation. We continue to expect the initial production from the third shafting in 2022, with the sustained production in 2022 at a capital positive $300 to $325 million on a 100% basis. This shaft is expected to increase annual production on a 100% basis to more than 500,000 ounces per annum with in all-in sustaining costs of approximately $630. Now I'll hand over to Bill MacNevin to speak on the development process we’ve had at Nevada project.
Bill MacNevin: Thanks Greg. As Barrick Nevada CEO, I'm pleased to be leading Barrick Nevada. I wanted to describe two of our top growth projects for you. Goldrush is our most exciting project and our success from 2017 has continued into 2018. We're continuing to work on converting the 9.4 million ounce resource to reserve, adding to the 1.5 million ounces converted in 2017. Barrick has had more drilling success at Red Hill and the nearby Fourmile area, which Chris and Rob will describe in a moment. We've completed the portal side and are initiating development for our exit decline as pictured to the right. The declines are on track to reach the orebody in 2021, when we will conduct further exploration and start mine development. Detailed engineering and permitting are expected to take place between 2018 and 2021. We also kept balancing the Deep South project utilizing roadheader mining technology and achieved the milestone when the West access decline worked through to the existing Cortez Hill underground working on March 18. Our focus now includes building out the surface and underground infrastructure. They will be used to access and handle material for the mine. Mining at Deep South is expected to result in production of approximately 300,000 high value ounces annually, with an expected all-in sustaining cost of approximately $578 per ounce. Project permeating is advancing, and we expect to draft the EIS published for public comment in the second half of the year. With that, I'd like to hand over to Rob to provide an update on our recent exploration results in Nevada.
Rob Krcmarov: Thanks, Bill. You recall that last year drilling at pods one to three in Red Hill portion of Goldrush was already in the conversions of reserves at 1.5 million ounces, which is shown and written on the slide. This year there are 35 holes planed just for the open edges of those reserve blocks. 10 of those holes have been completed and four are in progress at quarter end. Moreover, a 32-hole infill drilling program has commenced on Pod 4, as Bill mentioned, with the aim of additional reserve conversion and results today are as expected. Many assays are still pending, but based on our previous drilling experience at Goldrush, we expect many of the holes to be mineralized. And we have increasing confidence of resource expansion of reserve conversion and potentially great increases. As I mentioned before, the more work we do, the more through we are with the results. And also the extraordinary value Goldrush is expected to generate for our shareholders. But I think the next chapter of this district is being written right now at Fourmile, where we had two formed approach. The first, it's continues to scope out the vast area of anomalism through wide-space scout drilling. Last year, our most nobly hole and a very bold step out of that intersected an extremely encouraging intercept of almost 5 meters at 11.5 grams per tonne. That's wide-space scout drilling program is underway and will provide further comments in coming quarters. The second objective is to infill drill a part of Fourmile, where we discovered very high-grade mineralization in wide-space drilling last year, so let's just zoom in on the next slide and take a closer look at progress and results today on the infill program. This year, we planned 24 drilling holes to demonstrate continuity of high grade as well as to establish an initial modest improved resource. So far, five holes have been completed with four more in progress. We have received assay results to three holes including, a really a spectacular highlight of 9.1 meters at 14.9 grams per tonne. So for the holes with pending assays, our geologists have noted strong odoration and other characteristics comparable to other high-grade mineralized holes nearby. As results coming, we’ll assist the program with an eye to potentially extend this year drilling; with increasingly confident at Fourmile and Goldrush playing part of a 7-kilometer long mineralized system, which is similar in length to the mineralization length at Goldstrike. So as our way continues, we get a sense that we are playing a key role in contributing to our Nevada growth exploration. And with that, I’d like to hand back to Kelvin for some final words.
Kelvin Dushnisky: That concludes the presentation. But just before we get into Q&A portion of the call, I’d like to take a moment to say a few words about our Founder and Chairman, Emeritus, Peter Munk, who passed away late last month. Of course, this is a sad time for all of us. peter was an icon and what pioneers like him cannot be replaced. Peter's legacy is well-established and is imprint on the company’s indelible. So you can count on it to continue to be reflective long into the future. So, now let’s open the line for questions please.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Chris Terry of Deutsche Bank. Please go ahead.
Chris Terry: Good morning guys. Thanks for taking my questions. First one I had just around the balance sheet and where you see that at. In terms of dividends, going forward, how do we think about the cash balance of $2.4 billion, how low could you take that, and then what do you think about roughly is a timing for when you may have some capital returns for investors. And then the second question just on the portfolio side with the changes around I guess Pascua-Lama and the copper prosperity and potentially, the undervalued copper division, how do you think about extracting the bits value out of those. Should Pascua-Lama potentially be divested to somebody else or in the same, the copper division, I guess, so just wanted an update on the portfolio construction?
Kelvin Dushnisky: Okay. Thank you very much for the question. Maybe I’ll go in reverse order, and I'll start answering the second question and then refer to Catherine on the balance sheet. Regarding Pascua-Lama and the copper portfolio, as we’ve indicated in prior calls, while the copper assets aren’t core relative to how we characterize more portfolio, this is certainly valuable and we’re going to continue to maximize value of the copper portfolio, and we’ll see what happens in the future. Regarding Pascua-Lama, as we’ve indicated, we are focusing now on the optimizing the closure plan on the Pascua side of the project, certainly maintaining great auction value at Pascua-Lama, if there’s an opportunity to partner with somebody on that project on a going-forward basis, we’ll certainly take that into consideration. On the balance sheet, maybe Catherine…
Catherine Raw: Okay, thanks. So just to go through the question, in terms of the balance sheet is that how we’re sitting with net debt of around $4 billion. As we said, consolidated cashes of $2.4 billion. So with regard to dividends, when we look at the ordinary dividend, really what we’re looking at is, what is the sustainable dividend that we can pay throughout the cycle? And what I mean by that is, is what is the downside risk and upside risk in terms of being able to sustain that dividend over the long-term. And so really that’s what will trigger increase in the ordinary dividend. And it’s something we’ll be reviewing over the course of the year, as we look at our 2019 life-of-mine plan and future investment requirements. With regards to your question as specific returns to shareholders, what we stated in our press release, is that if we were to sell assets or if we were to see surplus cash flows over and above what we were budgeting, potentially because of higher gold prices, then we would consider returning these to shareholders, alongside we investing back into the business. And so really we just need to see how 2018 and moving into 2019, how the market plays out. Hopefully that answers your question.
Chris Terry: Thanks, Kelvin. Thanks, Catherine. That’s good. Thanks.
Kelvin Dushnisky: Thanks, Chris. Thank you.
Operator: The next question comes from John Bridges of JP Morgan. Please go ahead.
John Bridges: Hi, good morning. Thanks, Kelvin, everybody. Just a geology question and then an accounting question. The intersections at Fourmile, will that require dewatering to access, is that below the water table? And then with respect to Tanzania, the cost of the negotiation, how is that going to appear in the accounts? I guess, it’s pretty premature but just in principle, do you have an order of magnitude as to what that was like to be and where it’s likely to show up in the second half? Thank you.
Kelvin Dushnisky: All right. Thanks, John. Well, maybe Rob will start telling the geology steep and in the last Catherine will address the Tanzania and the accounts.
Rob Krcmarov: Well, we don’t have any wells in the Fourmile area. Really, just only exploration drill holes, but what I can say is that the Fourmile mineralization in that the same RL, as Goldrush. And in addition the exploration drill holes intersected water at around about the 5,500-foot level. Where this is Goldrush with the water table is around about 5,900 feet. So roughly similar level, probably similar characteristics, so in the absence of a much data, we’d expect similar hydrological characteristics to the Goldrush area.
Catherine Raw: Okay. And just answering the Tanzania question. So what we’ve already done John, is book a provision for the tax. So that $300 million payment that we’ve referenced in the October framework agreement, that’s now provided for in the balance sheet. The other thing we also did with impairment testing at the end of last year at Acacia, we did it ourselves based upon the 52% sharing of economics, another high-level framework agreement commitment. So at this point in time, the balance sheet does reflect best knowledge of what the future will look like. And we will update as we get more details.
Kelvin Dushnisky: Thank you, John.
Operator: The next question comes from David Haughton of CIBC. Please go ahead.
David Haughton: Good morning, Kelvin and team. Thank you very much for the update. Maybe for Rob, if you don’t mind, looking at Fourmile, is Fourmile an extension of Goldrush or is there some discrete changes in mythology, geology, metallurgy that makes it a different kind of orebody?
Rob Krcmarov: Thanks for your question, David. Broadly, it is an extension, in that the same stratigraphic interval is mineralized as Goldrush. You know that the long access of Goldrush basically points to, let’s call 11:00, and Fourmile is at a different orientation. As you head towards the north end of the Fourmile area, you’re approaching a metaphoric high-low from an intrusive that’s probably about little over two kilometers to the North. So the structures are tightening up, you’re getting a little bit of metamorphism, we’re seeing more bridges and more regular high-grade. And in addition, there are other parts strategically that are starting to become mineralized there. But in general, I would say, 80% of it looks so far similar, but we’re optimistic that we’re kind of continuing to find some high-grade rich in mineralization.
David Haughton: And for the development plans of Goldrush that are advancing, we saw that the decline portals et cetera. Where does Fourmile fit within the permitting, is it within the existing permitted footprint or is it requiring an extension? And how would you think about ultimately developing it?
Rob Krcmarov: The exploration declines will be accessing the Red Hill area, the Fourmile area is several kilometers to the North. So I’m not really sure how that relates to permitting, but we’ll, hopefully, eventually capture that.
David Haughton: All right. And if I may, flipping over to Catherine now. Just wondering the implications of Pascua being suspending, what does that mean as far as impairment testing, the obligations you have for region and for the VAT?
Catherine Raw: So as you rightly said, we have spended the pre-feasibility study work to focus our attention on the mediation work on the Pascua side. So that option still remains in the future, but at this moment, it’s our – it’s not our priority for 2018. So effectively, nothing changes. So with respect to the Wheaton Precious Metals, the stream, that remains in place and you will really have to speak to them, in terms of their views on that. But that option effectively is still there in place. And any other thing to flag is, around the VAT, which also is effectively – remains far as that the options to develop the asset is still there.
David Haughton: Yes. I guess, you put some time in your side because Wheaton doesn’t have to come up for negotiation till 2020 and the VAT up to 2026. And both of those have been pushed out previously, as I guess, you’ve got some time on your side on this one?
Catherine Raw: That’s exactly, right. We do recognize the Wheaton Precious Metals, cash liability on our balance sheet.
David Haughton: All right. Thank you very much.
Operator: The next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: Just wanted talk a little bit about your statement in the press release about the expanding the processing capacity in Nevada to take advantage of the opportunities you have there. What are you thinking when how, can you give us some granularity on that?
Kelvin Dushnisky: Hey, Greg Bill MacNevin is here. And Bill will take that question, please.
Bill MacNevin: So Greg, basically we’re continuing to evaluate all the different options. We’ve obviously got different processing systems already in place, and we’re looking at what we can do to augment those, because looking forward, with the success we’re having, on our exploration front as well as what we’ve got, which is already significant resources in place, we actually believe we’ve got a strong opportunity to augment and add to that. So at this stage, we’re still open-minded about what we will be adding. So can’t be more specific than that. We’re still going through the assessment process.
Greg Barnes: Is this going to trigger repermitting timelines and things like that?
Bill MacNevin: Now look, we’re, obviously, very cognizant of making sure we maintain our current pipeline of delivery. And anything we’re working on, we’ll make sure it goes – it’s in line with that and doesn’t negatively impact that. If anything it will assist in the future. That’s something we’re obviously, conscious with, as we work through this.
Greg Barnes: Any kind of timeframe on when you can provide us more detail on what you are planning on doing?
Bill MacNevin: At this stage we’re still working through pre-feasibility level working, so we still got a considerable tough amount of work ahead of us. I think – yes, I think we will be talking about this again next year.
Greg Barnes: Okay. Thank you.
Operator: The next question comes from Kerry Smith of Haywood Securities. Please go ahead.
Kerry Smith: Thanks operator. Rob, just on Fourmile for this initial resources. Would that be outdated early next year, I guess as part of your 2018 resource update?
Rob Krcmarov: Correct, Kerry. It'll probably be an initial modest resource. As I said, we continue to do that scout drilling. And so in the years to come, hopefully we'll build upon that, but yes, at the end of this year, early next year we'll be reporting.
Kerry Smith: Okay. So you'll have may be 40 or 50 holes to put into to that resource then?
Rob Krcmarov: We'll see how we go during these.
Kerry Smith: And Catherine, just on the G&A for Q1, it was just about $50 million but -- and your guidance is $2.75, are you expecting the G&A to jump up over the next three quarters let’s say or is the run rate going to be more in that $200 million range?
Catherine Raw: I will. Tell me what the share price is going to do and I'll tell you what our G&A is going to do. No, I shouldn't be suspicious. So when you look at the big change year-on-year in our G&A, a significant part of that was the stock-based compensation, lower share prices and lower payouts. And ultimately that number has come down. So that will change depending upon the Barrick's share price and the Acacia share price. With regards to corporate administration spent, we expect to see that steady but we do have an increase in digital expenditure into the second quarter, and we get to decide exactly the -- how that will evolve in the second half.
Kerry Smith: Wasn't the $2.75 excluding the stock-based comp, which was $30 million in guidance, so three or five or did I get that wrong?
Catherine Raw: No, you're, right. So $3.40 was outside of G&A. And so, yes – so what you should expect to see that for as a slight increase in Q2. But I think, it is fair to say that our G&A spend is something we're focusing very, very strongly on, and we would look to manage the increase in G&A over the course of 2018.
Kerry Smith: Okay. So I think, what you're saying is you're still – it's going – the G&A is going climb a little bit over the remainder of the year. Is that what you're suggesting? The cash?
Catherine Raw: The $2.75 remains our guidance as of this point. We will update our guidance in due course. But to understand, we are doing everything we can in order to manage and focus our expenditure where it will add value.
Kerry Smith: Okay. I get it. And then, the cash tax you created as well was lower, what were the main drivers for that. Was it mostly the lower tax rate in Nevada or
Catherine Raw: There's a combination. There were two major changes, one you've highlighted, which is the lower tax rate in U.S. The other, with cash tax assets PV were lower year-on-year.
Kerry Smith: Okay, that’s great. Thank you very much.
Operator: The next question comes from Steven Butler of JMP Securities. Please go ahead.
Steven Butler: Thanks operator. For Greg Walker. Greg, in the second quarter, you'll take some downtime of both Goldstrike and Pueblo Viejo for mill maintenance. Do you have the approximate estimate of the amount of downtime at both of those respective mill operations?
Greg Walker: We've just finished the autoclave downtime so they have been down for the first half of this month. So it will impact the PV production this month, and the rest is reschedule for eight days. It will be another eight days lost out of the roster, it is by Nevada. So that will impact the first – this quarter, we'll still be a little over 1 million ounces as we've said earlier and much stronger in the second half.
Steven Butler: Okay, thanks, Greg. And Rob, for you on the Fourmile graphic, like on Slide 13. You talked about that well catered or scout drillingstep out five meters of the 11.5 grams, where approximately is that on the Slide 13 is that the black drill hole upper left?
Rob Krcmarov: No, it’s further to the left to the page.
Steven Butler: Well, Okay. Beyond the page. Okay. That sounds fine. And Bill, remind us again, the processing method of current choice that you would apply to the bulk of the stockpile sulphide reserves at Goldstrike, is it mostly all roasted, double refractory roaster is that correct?
Bill MacNevin: It’s predominantly double refractory. We’re obviously processing that through our TCM for the cost process.
Steven Butler: That’s TCM. Okay, is it for mostly…
Bill MacNevin: So double refractory you and for the roaster, but also I can go through the order cloud TCM process, so that’s all our way of bringing those stockpiles forward through that order cloud TCM circuit. So we bring that going forward.
Steven Butler: Okay, thanks a lot. That’s it.
Bill MacNevin: Thanks, Steven.
Operator: This concludes the question-and-answer session. I’d like to turn the conference back over to Kelvin Dushnisky for any closing remarks.
Kelvin Dushnisky: Well, thank you very much, operator and thanks everybody in dive into the call today. For those of you interested, I’d like to point out that we will be hosting our second annual sustainability briefing on March 6. And otherwise, thank you again, and we look forward to updating you on our progress during our Q2 call in July. Thanks very much.
Operator: This concludes today’s conference call. So do you have any additional questions, please contact Barrick’s Investor Relations department. You may now disconnect your lines. Thank you for participating. Have a pleasant day.